Brian Denyeau: Good afternoon and welcome to Brightcove’s Third Quarter 2022 Earnings Presentation. Today, we’ll discuss the results announced in our press release issued after the market closed. With me are Marc DeBevoise, Brightcove’s Chief Executive Officer; and Rob Noreck, Brightcove’s Chief Financial Officer. During today’s presentation, we will make statements related to our business that may be considered forward-looking and are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, including statements concerning our financial guidance for the fourth fiscal quarter of 2022 and the full year 2022, expected profitability and positive free cash flow, our position to execute on our go-to-market and growth strategy, our ability to expand our leadership position, our ability to maintain and upsell existing customers as well as our ability to acquire new customers. Forward-looking statements may often be identified with words such as, we expect, we anticipate, upcoming or similar indications of future expectations. These statements reflect our views only as of today and should not be reflected upon as representing our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations, including the effect of macroeconomic conditions currently affecting the global economy. For a discussion of material risks and other important factors that could affect our actual results, please refer to those contained in our most recently filed annual report on Form 10-K and as updated by our other SEC filings. Also, during the course of today’s presentation, we’ll refer to certain non-GAAP financial measures. There is a reconciliation schedule showing GAAP versus non-GAAP results currently available in our press release issued after the market closed today, which can be found on our website at www.brightcove.com. And now here’s Marc DeBevoise.
Marc DeBevoise: Thank you, Brian, and thank you all for joining today. I’m thrilled to be here to share our third quarter 2022 results. I’ll also spend some time highlighting the progress we have made against our new strategic plan and toward delivering consistent and meaningful revenue growth while building on our track record of adjusted EBITDA profitability. Let me begin with a quick overview of our financial results for the quarter, which Rob will go much deeper on in a few moments. First, I will highlight that both revenue and adjusted EBITDA we delivered were above the high end of our guidance. Total revenue was $53.9 million, up 3% year-over-year and up 7% year-over-year on a constant currency basis. As I mentioned, this was ahead of our $52 million to $53 million guidance. We benefited here from a record overage revenue in the quarter, offset by some foreign exchange headwinds. Adjusted EBITDA was $4.9 million, up 19% year-over-year and ahead of our – $3.3 million to $4.3 million guidance. I’ll note that this is our 13th consecutive quarter of adjusted EBITDA profitability. These results were strong, especially in the context of two things. The challenging macroeconomic environment we’re in, which especially impacts our results in the form of foreign exchange headwinds and the amount of meaningful change and transformation we are introducing across the business as part of our new strategic plan and priorities. I want to thank everyone at Brightcove for their hard and smart work that went into delivering this quarter and for their commitment to making our new strategic path forward successful. As we discussed on our last earnings call, Brightcove’s vision is to be the most trusted streaming technology company in the world. This is an ambitious vision and one that Brightcove is uniquely positioned to achieve. We have been pioneers in powering businesses to grow or connect with audiences for nearly two decades, with a proven track record of delivering content via world-class quality streaming technologies to anyone via any device securely, reliably and at scale. What we have realized on this journey with our customers is that the long-term streaming opportunity is about that content delivery capability, but also now much more. The consistent feedback we receive from customers is that they desire to increase their streaming usage to make their businesses more successful, but they need to find ways to be more efficient in using streaming and want solutions that will help them find new users and customers in order to accelerate growth. In some cases, they have well developed strategies and are simply seeking best-in-class solutions. In many cases, though, they aren’t sure how to most effectively develop and deploy a streaming strategy that can achieve their goals. To maximize the benefits of streaming going forward, we believe any company, brand or creator will need the combination of best-in-class technology with solutions that focus on their business and domain experts who understand the most effective ways to utilize this combination day-to-day. Today and going forward, streaming will be a critical technology, one supported by curated content and services for any company to engage and retain existing customers, to capture new customers, to build brand awareness, to communicate with employees, to grow an audience, to sell more products and, if appropriate, monetize that content, too. So put succinctly, our mission is to deliver the highest quality, most scalable and secure streaming technology platform for any company, brand or creator to own their digital future. We will achieve this by combining the most complete solutions with curated content services and a team of experts to lead customers through every stage. I strongly believe Brightcove with our technology and streaming expertise, has built an incredible foundation that puts us in a great position to fully capitalize on this growing opportunity. To deliver on this vision and mission, we have laid out a comprehensive strategy that will create significant value for our customers and position Brightcove to meaningfully grow our business and generate accelerating revenue and adjusted EBITDA growth over time. As a reminder, we have five core pillars to our strategy. One, delivering more end-to-end solutions and services. Two, accelerating and incubating new and existing customers. Three, super serving our largest and most strategic customers, and four, partnering to efficiently reach the broader market. The final one is that allowing ourselves to pursue supplemental business models that can provide revenue opportunities in addition to our core SaaS revenue model. I’d like to provide a brief update on the progress we’ve made in each of these in the quarter. Starting with our solutions and services. We continue to make progress on delivering a broader set of end-to-end solutions that can solve a broader set of business challenges for our customers. Our customers get this need, and we have received excellent feedback on our innovative product directions here. In particular, we’ve had a strong feedback focused on our more recently added interactivity and analytics capabilities from a variety of industry analysts, and we continue to stand out in terms of the variety of integrations we have, especially across the marketing tech stack. We also continue to receive accolades for being ahead of the curve when it comes to our encoding efforts. According to Michael Goodman, Director of TV and Media Strategies at the research firm Strategy Analytics, “with fast transcoding, reliability, input file compatibility and output support for all connected devices, Brightcove’s cloud-based video encoding platform is well positioned for anyone that wants to create and deliver content.” I couldn’t agree more, Michael. This is more validation that we’re building and delivering the right things. Finally, I’ll mention the strong response we’ve received around our upcoming new approach to content monetization; specifically, our plan to roll out an advertising monetization solution to appropriate customers. We expect to announce our first major partnership on this front later this quarter and the ability to enable this business opportunity for our customers as early as Q1. To continue to build on our leadership and product innovation, I am thrilled with the recent addition of Scott Levine as our new SVP and Head of Product. Scott has more than two decades of experience leading video and streaming product development. For the past 10 years, he has held a variety of senior leadership positions at TelevisaUnivision, where he was most recently Senior Vice President of Product and Technology. He’s an incredible addition to round out our strong leadership team. Our other product-related strategic pillar is to help accelerate and incubate customers through their use of streaming technology. We believe Brightcove’s reputation as streaming experts puts us in a position to expand our consultative services offering and be the trusted adviser to help our media customers accelerate their business and our enterprise customers develop streaming-first strategies. We are actively developing both our digital content and marketing assessment and content-as-a-service offerings in this regard. We want to support customers in assessing the content they have, understanding what their content strategy should be and ultimately help provide the content they need to accelerate or get started on their streaming journey. We believe providing these services will increase the strategic importance of Brightcove with these customers, increasing their streaming uses and reach and ultimately driving larger overall customer engagements and improving retention over time. I’m very pleased with the progress we’ve made on our go-to-market initiatives in the quarter as well. One of these key areas is to focus our direct sales teams on larger customer opportunities. We believe a fundamental shift is underway in the streaming market. Large media companies are sharpening their focus to deploy capital on content creation and drive efficiencies in their technology spend. And enterprise companies are now recognizing that the – they need a comprehensive digital video strategy to effectively engage with customers and employees. A great example of this shift in media is the recent renewal we signed with one of the largest streaming services in Asia, the primary driver of those record overage revenues I mentioned earlier. This company has been aggressively investing in its content strategy in recent years and relies on Brightcove to provide much of the technology to power its world-class user experience. During the quarter, this customer hosted one of the largest ever live streaming events in its territory and on Brightcove, where we successfully supported millions of unique and concurrent users. And this wasn’t our first time doing so, by the way. Based on our success supporting them to-date, this customer continued its multiyear relationship with us, renewing its multimillion dollar contract in the quarter. A great example of the shift in enterprise thinking is the – to one focus on the importance of streaming video and, in many ways, thinking and acting like a media company is Finastra, one of the largest FinTech companies in the world. Finastra conceptualized and launched Finastra TV, a dedicated streaming channel to provide its audiences relevant content using Brightcove’s technology. Finastra has experienced an ROI on its content spending many multiples higher compared to in-person events. The company’s CMO said, “We had to stop thinking about traditional B2B marketing and start thinking about engaging with customers the way they want to engage,” and I couldn’t agree more. Beyond these specific examples, we have seen a notable increase in the number of strategic customer conversations we are having with both large media and enterprise prospects. Our focus here is creating larger opportunities than those we have historically seen and believe this will increase our ARPU over time. The enthusiastic reception we are getting from prospects is an important validation of our belief that customers want to do more with Brightcove and a validation of our strategy and differentiated solutions. Our other key go-to-market focus is on building deeper partnerships to reach the broader market. This is a global multibillion dollar market, and the only way we will be able to fully cover it in a cost effective manner is to develop a comprehensive partner ecosystem that allows us to address the broader market. We made substantial progress on this front in Q3, including a recent partnership with Roku. This collaboration is a win-win, enabling us to work together to bring partners to the Roku Channel, while also offering Brightcove services to our mutual customers. We are thrilled to be partnering with Roku, and we have a number of exciting discussions ongoing with other partners with both similar and new ways to get our software and solutions in the hands of more customers and better serve our existing customers with more features and distribution endpoints for their content. You should expect to hear more announcements from us on this front in the coming quarters. To fully capitalize on our strategic vision, we need to provide flexible options to work with our customers in a variety of ways that create value for both them and us and build upon our large and growing SaaS revenue base. This is a long-term goal, and we’ve made progress in the quarter scoping and defining numerous specific initiatives to support and deliver on this part of the strategy. We are focused on comprehensive solution options that will make it easier for customers and prospects to see the value of their investment with clear and simple pricing. With some of our newer opportunities, we see the options to utilize newer business approaches for us, including revenue sharing or recurring managed services contracts. These models provide additional avenues to pursue larger deals, increase deal sizes and ultimately increase customer lifetime values. As you can see, there is a lot we’re working on. I am pleased with the progress we’ve made in a short time. We have the strategy in place. We now have the team on board. We have internal goals set to hold ourselves accountable. We are confident we have the right things in place to build a business that begins delivering accelerating, consistent revenue growth and profitability in the future. Lastly, I’ll note we will be hosting a Virtual Investor Session next week on November 9th in conjunction with the premier of PLAY Season 1, our video series featuring industry experts, content luminaries and many of Brightcove’s incredibly talented leaders discussing all things streaming. The investor session following PLAY’s release will feature additional executives beyond me and Rob, and we’ll go deeper into our market, our strategy, our solutions and how all of those impact our view on the longer-term financial opportunity for the company. For more details, please visit the Investor Relations section of our website. And with that, I’m going to turn the call over to Rob for a deeper dive on Q3 and the numbers.
Rob Noreck: Thank you, Marc, and good afternoon, everyone. I will begin with a detailed review of our third quarter, and then I will finish with our outlook for the fourth quarter and the full year 2022. Total revenue in the third quarter was $53.9 million, which was above our guidance range. Breaking revenue down further, subscription and support revenue was $51.8 million and professional services revenue was $2.1 million. Overages were notably strong in the quarter at $4.7 million. The elevated amount of overage revenue was driven by the same large strategic customer we mentioned in the last quarter. As Marc noted, we have now signed a contract renewal with this customer. I’ll provide more detail on how this will impact our fourth quarter later in my remarks. 12-month backlog, which we define as the aggregate amount of committed subscription revenue related to future performance obligations in the next 12 months was $113.8 million. This represents a 5% year-over-year increase on a constant currency basis. On a geographic basis, we generated 55% of our revenue in North America during the quarter and 45% internationally. Breaking down international revenue a little more, Europe generated 16% of our revenue and Japan and Asia-Pacific generated 29% of our revenue during the quarter. Let me now turn to the supplemental metrics we share on a quarterly basis. Recurring dollar retention rate in the third quarter was 95%, which was in line with our target range of low-to-mid-90s. On a constant currency basis, our recurring dollar retention rate was 97.7%. Net revenue retention in the quarter was 93%, which compares to 95% in the second quarter of 2022 and 95% in the third quarter of 2021. Since the beginning of 2019, net revenue retention has ranged from 92% to 100%. In this quarter, net revenue retention on a constant currency basis was 102%. We expect that as we continue to make improvements in our renewals business, this metric will consistently be over 100% over time. Our customer count at the end of the third quarter was 2,900, of which, 2,271 were classified as premium customers. Looking at our ARPU within our premium customer base, our annualized revenue per premium customer was $95,900 and excludes our entry-level pricing for starter customers, which averaged $3,800 in annualized revenue. This compares to $93,400 in the third quarter of 2021. On a constant currency basis, our annualized revenue per premium customer was $99,800. Looking at our results on a GAAP basis. Our gross profit was $33.9 million, operating loss was $821,000 and our net loss per share was $0.04 for the quarter. Turning to our non-GAAP results. Our non-GAAP gross profit in the third quarter was $34.5 million, compared to $34.1 million in the year ago period, and represented a gross margin of 64%, down from 65% in the third quarter of 2021. Subscription and support revenue represented approximately 96% of our total revenue and generated a 66% gross margin in the quarter, compared to 68% gross margin in the third quarter of 2021. Non-GAAP income from operations was $2.8 million in the third quarter, compared to $2.9 million in the third quarter of 2021. Adjusted EBITDA was $4.9 million in the third quarter, compared to $4.2 million in the year ago period, and above the high end of our guidance range. Adjusted EBITDA margin was 9% in the quarter. Non-GAAP diluted net income per share was $0.05, based on 42.1 million weighted average shares outstanding. This compares to net income per share of $0.05, on 41.7 million weighted average shares outstanding in the year ago period. Turning to the balance sheet and cash flow. We ended the quarter with cash and cash equivalents of $31.3 million. We generated $10.5 million in cash flow from operations, and free cash flow was $4.5 million after taking into account $6 million in capital expenditures and capitalized internal-use software. I’d like to finish by providing our guidance for the fourth quarter and full year 2022. For the fourth quarter, we are targeting revenue of $49.2 million to $50.2 million, including $2 million of overages and approximately $1.8 million of professional services revenue. From a profitability perspective, we expect non-GAAP operating income to range from a loss of $800,000 to income of $200,000 and adjusted EBITDA to be between $1.3 million and $2.3 million. Non-GAAP net loss per share is expected to be in the range of $0.03 to breakeven, based on 42.2 million weighted average shares outstanding. For the full year, we are targeting revenue of $211 million to $212 million, including $12.9 million of overages and approximately $7.1 million of professional services revenue. From a profitability perspective, we expect non-GAAP operating income of $11.1 million to $12.1 million and adjusted EBITDA to be between $18 million and $19 million. Non-GAAP net income per share is expected to be in the range of $0.22 to $0.24 based on 42.1 million weighted average shares outstanding. For the full year, we are now targeting free cash flow of breakeven to $2 million. There are several things I want you to keep in mind regarding our guidance. The US dollar continued to strengthen in the third quarter and into October. Foreign exchange is an additional $1.2 million headwind relative to the last time we updated guidance in July. From the beginning of fiscal 2022, foreign exchange rates have impacted our revenue guidance by $5.2 million. On a constant currency basis, our full year guidance would be $216.2 million to $217.2 million, above the high end of our initial guide at the start of the year. In the fourth quarter, the biggest driver of the sequential decline in revenue is reduced overage revenue. As we discussed, we had very strong overages in the third quarter. Now that this customer has entered into a new contract with us, we expect overage revenue to return to historical levels. This new multimillion dollar commitment to the Brightcove platform reflects an increase in their subscription revenue commitment and is a great example of the larger strategic wins we are targeting in the media market. To wrap up, Brightcove delivered solid third quarter results that show the value our solutions provide to customers every single day. We are confident that the strategic initiatives we are implementing across the business will result in greater value for customers and drive significantly better top and bottom line performance for our business. We look forward to providing you more details on our strategy, solutions and our financial targets next week at our Investor Presentation. With that, give us a moment to queue up the other participants and shift to our Q&A.
A - Rob Noreck: A question from Steve Frankel at Rosenblatt Securities. Steve?
Steve Frankel: Good afternoon. Thanks. Marc, can we start with the company’s efforts to go after some of the big streaming companies. Given the changing economics in that business, how have your customer conversations changed in the last three or four months? And where do you think your product is today relative to what their needs are?
Marc DeBevoise: Thanks for that, Steve. I’ll start with the last part and I’ll finish with the first. I took this job knowing the strength of the platform. There are certainly incremental product and feature things we can build out to make it even more end-to-end, and that’s part of the strategy as we talked about, but absolutely can handle effectively anything out there on the Internet. We proved that this quarter in Asia with a major streaming event, a major partner you know we continually prove it. We proved it with you know larger events in the past. So I have no concerns about the end-to-end nature of the platform so far. There are definitely pieces to put in there, but that can always help, but I think we’re in a great place. And we can certainly or one of the only people that can handle the type of volume that a larger media company would be able to push through one of these things. The traffic we deliver today across our platform is on par with those companies already. And you know yeah I know that from my background. And then I would say the – way the conversations are going is great. I think the industry is hitting an inflection point where content is effectively where those companies are going to differentiate and that the platforms they’re all operating on certainly have some path dependency to them, right. They have built this or they have built that. They’ve outsourced this, they’ve outsourced certain pieces. But in the long run, they’re going to need to find cost savings in the technology portions of their business. And I’m not just talking about the big you know five or six companies that sit atop the media landscape. But there are probably 100 or so that we look at globally in that bucket that can be you know 7-figure customers for us over the long run, and we can actually save them you know tons of money and tons of operating leverage in their own businesses by working with them and helping them effectively outsource pieces of their streaming stack. So we feel very good about – where those are going. We have multiple you know very large deals in the pipeline. I would say there you know you never know which ones are going to close and when, but it’s a great opportunity set to be out there over the next, let’s call it, year or two that we see you know likely to come into fruition. And that’s why we put the strategy in place to go after those larger customers. The last point I’ll make, Steve, is on the enterprise side, we’re also seeing that step up in larger customers. It’s a different you know ballpark, but it is you know the larger customer size there is meaningful and can be very meaningful to our business. And we’re starting to see a big uptick in opportunities as we focus our direct sales team to go out and go after those larger opportunities.
Steve Frankel: Okay. And then on the enterprise business, where are you on going back to some of your existing customers, because you have some very large ones, but you tended to be very targeted and departmentalized. And where are you on going back and maybe driving better cross-selling or up-selling in that base?
Marc DeBevoise: Yeah. Look, I think we’ve done a great job traditionally in being long-term partners for many of those companies, as you know, right. Some of these folks have been on our roster for a while. I think there’s some definite improvement we can see there. And what you’re going to hear a little bit of, and I don’t want to give too much away about what we’re going to talk about next week in our investor event, I know hopefully you’ll join us, but we’re going to talk about how we’re you know sort of refocusing our sales team to be better at going after that type of add-on and cross-sell business inside those bigger companies because we think it’s an absolutely big opportunity.
Steve Frankel: Great. Thank you. I’ll jump back in the queue.
Marc DeBevoise: Great. Thanks, Steve.
Rob Noreck: Thanks, Steve. And our next set of questions will come from Max Michaelis at Lake Street Capital.
Max Michaelis: Hey, guys. Can you hear me okay?
Rob Noreck: Yep.
Max Michaelis: Just guys, I want to talk about the guide real quick. Not so much the revenue portion of it, but more of the bottom line. Just the decrease in profitability for Q4, is that more of a factor of gross margin or under one of the OpEx buckets?
Rob Noreck: Yeah it’s really a factor of the gross margin coming down with a step down in revenue from Q3 to Q4. We’re not taking a chunk out of our operating expenses as we take the transition from Q3 to Q4.
Max Michaelis: Can you kind of steer – almost like steer me in a direction like, how much of a contraction are you almost expecting for Q4, I guess significant?
Rob Noreck: Yeah. We expect similar gross margin percentages in the fourth quarter, but coming down with the revenue slowdown from the $54 million to the $49.2 million to the $50.2 million.
Marc DeBevoise: And I’d highlight the two factors you’ve we’ve cited throughout the discussion today: FX headwinds continue and you know the big overages revenue in Q3, which are not going to repeat in Q4. You know those – one drops straight to the bottom line and one impacts straight to that line with the FX changes. So it’s not the long-term operating model. It’s more you know sort of individual events of the quarters.
Max Michaelis: Okay. That makes sense. And then just from a macro perspective, what have you seen from your customers? Have you seen a shift in behavior and spending habits? Is there anything you guys can talk about there? Just kind of going at the press release, I saw that the customer total has kind of declined over the past few quarters. So wondering if there’s anything macro-related that you’re seeing or if you can give any insight on that?
Marc DeBevoise: Yeah I’ll take that one, Max. The – no, nothing to read into in the customer count. We don’t specifically goal ourselves on that count you know on a one quarter to the next. We’re looking at it on an aggregate basis, and we’re especially focused now on larger customers, right. So we really care that there are more and larger customers. That there are more you know sheer number of customers is not as important to us. So I wouldn’t look into I think it’s 20 or 30 out of 2,200 or something like that. So we’re not focused on that number specifically. In terms of the macro environment, we’re not seeing anything specific in the end markets that are you know specifically speeding us up or slowing us down. It is a unique time out there. There’s definitely a lot of uncertainty. I wouldn’t want to claim that it isn’t out there. We have our eyes all over it. You know we’re very you know cognizant of everything that’s happening. The one thing we would point you to that’s impacting the business is the foreign exchange rates, specifically in certain territories in which we operate pretty robustly, mainly you know APAC Japan and in you know Britain and in Europe. Those are deeply impacted by the currency shifts in the dollar. So we look at that and say that’s the only impact we’re seeing today. Everything on the macro and end market feels you know just as strong as it was you know a few quarters ago for us. And we feel like we’re in a business that is likely at least resistant to some of those recessionary pressures that may be there next year you know and we’ll learn more as we step into it quarter-by-quarter and keep our finger on the pulse.
Max Michaelis: Okay. That’s it from me guys. Thank you.
Rob Noreck: Excellent. Thanks, Max. And with that, we’ll hand it over to Vivek Palani from Northland Capital.
Vivek Palani: Hi guys. Good afternoon. I am Vivek in for Mike Latimore of Northland Capital. I have a couple of questions with me. The first one is, do you still expect to reallocate resources as opposed to increasing spending?
Rob Noreck: Yeah I think for the majority of what we’re looking at across the strategic initiatives, it is a reallocation of resources within the resources that we have. In certain cases, we’ll be looking for expertise that we might not have on staff, where we’ll be making some investment, but we don’t see it as a large area of incremental investment for us.
Vivek Palani: That’s great. And the second question is, have you made a final determination on ad monetization? When might that be available, if so?
Marc DeBevoise: Yeah like we mentioned on the – in the earlier part of the call or the stream, trouble remembering that we’re on stream all the time now. We expect to announce our partner, our first partner, this quarter and to hopefully make then it available to our customers in Q1. We have not specifically selected that partner yet, but we’re in the, you know stages where I would say we’re going to definitely do it this quarter. And then long-term, we expect to roll it out next year with a number of customers. Very excited about the opportunity this might be. I mean, we think there’s tons and tons of opportunity for us over the next few quarters and few years diving into that part of the business and helping serve our customers to help monetize their unsold inventory.
Vivek Palani: That’s it from my side. Thanks.
Rob Noreck: Excellent. Thanks, Vivek. And with that, I’ll hand it over to Marc DeBevoise for a few closing comments.
Marc DeBevoise: Thanks, Rob. Well, I just want to thank you all for joining the call today. I hope you saw what we delivered is a very strong Q3 and that we have a plan in place to deliver in future quarters and future years you know consistent revenue and profitability growth. We hope you’ll join us for our Investor Presentation next week, and thank you very much for joining our call.